Operator: Statements made by management during this call with respect to forecasts, estimates or other expectations regarding future events or which provide any information other than historical facts may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors many of which the company is unable to predict or control, that may cause the Company's actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the Company from time to time in its filings with the SEC, including in the Company's Annual Report on Form 10-K filed with the SEC on March 13, 2017. Furthermore as we start this call, please refer to the statement regarding forward-looking statements incorporated in the Company's Press Release issued this morning, and please note that the contents of the Company's conference call this morning is covered by those statements. During this conference call, management will make references to EBITDA, which is a non-GAAP financial measure. A reconciliation of the non-GAAP measure to the applicable GAAP measure can be found in the company's current earnings release, a copy of which is located on the company's website www.dawson3d.com. The call is scheduled for 30 minutes, and the company will not provide any guidance. I would now like to turn the conference over to Steve Jumper, Chairman, President and CEO. Please go ahead, sir.
Steve Jumper: Thank you, Shannon. Good morning, and welcome to Dawson Geophysical Company's first quarter 2017 earnings and operations update conference call. As Shannon said, my name is Steve Jumper, Chairman, President and CEO of the company. Joining me on the call is Jim Brata, Executive Vice President, Chief Financial Officer. Before we start the call, we have a few items to cover. If you would like to listen to a replay of today's call, it will be available via webcast by going to the Investor Relations section of the Company's website at www.dawson3d.com. Information reported on this call speaks only as today, Thursday, March 4, 2017. Therefore you should be advised the time-sensitive information may no longer be accurate at the time of any replay listening. Turning to our preliminary first quarter financial results. Operating revenues and expenses decreased in the first quarter of 2017, as compared to the same period in 2016. While demand for seismic services in North America remains soft, early signs of strengthening response to improving oil prices has begun to take hold. The recent oil price improvements have led to some increases in drilling and completion activity, primarily in concentrated areas of the Permian and Delaware basins of West Texas. During the second quarter of 2017, we anticipate operating four to six crews in the U.S., including two to four of our crews in the Delaware and Permian Basin, with variable utilization of these crews. Visibility beyond the second quarter of 2017 remains unclear. While further improvement in oil and gas prices will likely be necessary in order to meaningfully increased crew count outside of the Permian Delaware Basin, we continue to examine and implement strategies designed to increase the production economics for our clients. Even in today's difficult environment, exploration and production operators continue to turn to Dawson for high-resolution 3D images, which help operators avoid geo-hazards, identify the most productive portions of the reservoir and lower their overall development cost. I will now turn control of the call over to Jim Brata, who will review the financial results. I will then return with some final remarks about the outlook into the second quarter of '17. Jim?
James Brata: Thank you, Steve, and good morning. Revenues in the first quarter of 2017 were $41.9 million, compared to $47.1 million in the same quarter of 2016. As Steve mentioned, we operated three crews early in the quarter and up to a maximum of eight crews in the United States and Canada. During the second quarter of 2017, we anticipate operating four to six crews in the U.S., including two to four of our crews in the Delaware and Permian Basins, with variable utilization of those crews. Cost of services in the first quarter of 2017, was $39.5 million, compared to $40.1 million in the same quarter of 2016. Gross profit was $2.4 million in the first quarter of 2017, compared to $7 million in the same quarter of 2016. General and administrative expenses, decreased to $4.4 million, in the first quarter of this year, compared to $5.6 million in the same quarter of 2016. Depreciation and amortization expense in the first quarter of 2017 was $10.2 million, compared to $12 million in the same quarter a year-ago. Net loss for the first quarter of 2017 was $9.2 million, or $0.42 loss per share, as compared to a net loss of $8.6 million, or $0.40 loss per share, in the same quarter last year. We recorded an income tax benefit of $2.8 million in the first quarter of 2017, compared to an income tax benefit of $1 million in the same quarter a year-ago. EBITDA in the first quarter of 2017 was negative $1.9 million, compared to $2.5 million in the same period a year-ago. An EBITDA reconciliation was provided in our earnings release issued this morning. Now I'll highlight some balance sheet items. Our balance sheet remains strong. As of the end of the first quarter of 2017, we had debt including obligations under capital leases of $1.5 million. Cash and short-term investments of $43.8 million. Our current ratio was 4.2 to 1. And finally, working capital was approximately $55.9 million. And with that, I'll turn the call back to Steve for some comments on our operations.
Steve Jumper: Well, thank you, Jim. As mentioned in our press release, while demand for seismic services in North America remains soft, early signs of strengthening response to improving oil prices beginning to take hold. We continue to implement processes and strategies designed to further strengthen our operational and financial performance. In March 2017, we sold our dynamite energy-source drilling operation, which was acquired as part of our February 2015 merger with TGC Industries. As part of our cost control efforts, the sale decision was based primarily on the reduced level of activity and demand for services of that unit. We continue to evaluate levels of all in-house service offerings. Our current employee count stands below 700. With our ongoing cost control initiatives, strong balance sheet and experienced personnel, we continue to maintain our position as a leading onshore seismic data acquisition company in North America. The company anticipates a capital budget for fiscal of 2016 to be at maintenance level below the $10 million capital budget approved by our Board of Directors. As Jim said, our balance sheet remains strong, with approximately $43.8 million of cash and short-term investments, $55.9 million of working capital and $1.5 million of debt and capital lease obligations as of March 31, 2017. In closing, while market conditions remain difficult, we believe we are well-positioned to withstand the commodity cycle downturn. Our strong balance sheet, diverse client base and experienced management team, provides us with the tools and resources to navigate today's markets and quickly respond when market conditions improve. And with that, Shannon, we are finalized with formal remarks and are ready to take questions.
Operator: Yes, sir. Thank you. [Operator Instructions]. And we will first move to Max Yaras with Raymond James.
Max Yaras: Hi, good morning, guys. Can you hear me?
Steve Jumper: Yes, we can. Good morning, Max.
Max Yaras: Good morning. Thank you for taking the call. So if you can help me out in the quarter, it looks like the three to eight range is pretty big. Can you help me out more what was the average and what was the weather and seasonal breakup in Canada like for you guys?
Steve Jumper: Well, the Canadian season, which concluded around the April 1, as we've talked about in the past, the Canadian market typically is seasonal, primary activity being from freeze to thaw November to April, and that market actually was better for us than originally anticipated. I believe, our crew count up in that area might have reached five, six for short periods of time, probably operated four to five in the U.S., particularly late in the quarter. Early in the quarter, we were - U.S. utilization was well down related to land access agreements, some weather and then projects just not being ready. That's probably the primary thing we're dealing with in the U.S. market in particular, is having projects in the order book that are not quite ready to go on a timely fashion to keep utilization running high. And so we were probably three early in the quarter. Ramped up to a number of around eight late in the quarter. This quarter we've started off a little softer. The Canadian season has come down, as we've talked about. U.S. utilization was impacted negatively in April, improving in May, looks like it will be better in June. It should be in the four to six range. We are somewhat encouraged that there seemed to be a little bit of interest in Canadian activity in the summer time. So having said all of that, the issue still remains that demand remains relatively soft. Most of the demand is in the Permian and Delaware. We have some one-offs in other basins. Permian and Delaware are fairly concentrated areas. And so we anticipate two to four in those areas and some one-offs in others. And so until we see a further increase in commodity prices, I think we'll continue to be in the state that we're in.
Max Yaras: Okay, that's fair. Just a follow-up on the Permian and Delaware. Is there a possibility to go past the two to four, or what are the main drivers of demand there for you guys?
Steve Jumper: We've actually been fairly active in the Permian and Delaware over the last 18 to 24 months, and so some of the areas that are currently drawing some attention in the investment community concerning increased drilling and completion activity, we've already been a part of some of that. It still remains to be a fairly concentrated geographical area. And so I think we can keep two to four. I think there will be times where the potential is to ramp up to five maybe in those regions, in particular. But just due to the geographic concentration, the timing of getting projects ready, I think, is going to be the major factor for us in the Permian and Delaware basins.
Max Yaras: Okay. Just to be clear, that's re-shooting some seismic that was already shot a while ago, or is this some new edge stuff, or what is it?
Steve Jumper: That's a great question. The Permian and Delaware had several stages of activity. Of course in the 90's, there was a tremendous amount of work done in the Permian but it was lower resolution images, lower density surveys, lower channel count, conventional-driven geographic - geologic objectives. Did a little bit in the 2006, '07 range on the edge of the Delaware and had intermittent activity in the 2006 to 2007 range, but for all intent and purposes, the basin - those two basins went close to 20 years without a lot of serious activity. We moved - well, probably closer to 15 years, we moved back in 2011 and '12, where we are shooting over old surveys. The objective has continued to be on the unconventionals. The channel counts increased. The size of the projects have increased. The density of the projects have increased. And so what we're trying to do now is get even more detailed images inside these unconventionals. So there has been some portion of the basin that has already been, for lack of better work, re-shot, but there is still some running room out there left to go. So I think there'll be some enough activity to keep two to four busy for certainly into the near future.
Max Yaras: Okay. That's good to hear. Thank you, guys. I'll turn it over.
Steve Jumper: Thanks Max.
Operator: [Operator Instructions]. And we'll next move to John Potratz with Researched Investments.
John Potratz: Good morning, Steve. Thank you very much. I was very interested in the data that you're acquiring. What was interesting there was an article in March 31 in the Wall Street Journal on EOG, talking about how they are - as they are drilling they will modify how they're going the drilling and as they're going up maybe 500 feet per hour and they talked about the detailed data they need. Is that the detailed data that you are currently providing and that other people drilling through the Permian are going to have to come to you for the data? Does this indicate that a lot of this area will be re-shot?
Steve Jumper: John, first of all, it's good to hear from you. Second of all, we're not always privileged to the exact data and the method by which E&P companies are implementing data. I think they're using a wide variety of petro-physical, maybe micro-seismic various forms of data. But I believe that the baseline for those decisions and those guides, the well guiding will begin at seismic data level. And one thing that we have to keep in mind when it comes to the unconventional is we are acquiring higher resolution images, higher resolution images in terms of both spatial, lateral and vertical resolution. And so I believe people are beginning to see more and more things in a reservoir rock than they were able to see in the past. But the thing we have to keep in mind is that the unconventional long-lateral drilling programs are relatively new. And so there is not a large analog database to drawback on. And what I mean by that, if you looked at the conventional models that go way back into the 30's, 40's, and 50's, you had some level of well log information and seismic data that you could correlate back and forth to, correlating long-laterals, looking for how different rocks respond to drilling and completion techniques and what those looks like seismically, we're just in the early stages of building analytics to understand how those models become predictors. And so there is still quite a bit of work to be done with not just our technologies and others and there is improvement to be made. The key to seismic data is seismic data has to become a predictor. In order to become a predictor, you have to have a background base of models look-alikes, so here is what the rocks did, here is what the well logs did, here is what happened, here is what it looks like seismically. And so the more detail we get, and the more drilling that there is going to be, I think the more information will be extracted. Now one of things we do deal with is, we cover very large areas. We cover hundreds of square miles in a typical 3D shoot in West Texas. And so that covers a large acreage position for, not just one but multiple companies at one time. And so to answer your question, John, yes, I think we're part of some of that for sure. To what level within each E&P and speaking specifically to the article that you referenced? I have not read that article, so I don't have a whole lot of information to comment on.
John Potratz: So you're acquiring that - have you worked with, say, EOG or some of these other firms to try to enhance that overall data that you're collecting with what they are drilling [ph]?
Steve Jumper: We work with a wide variety of companies sometimes directly, sometimes indirectly, sometimes we work through a third-party provider. And so the answer to the question is yes, we are involved with many of the publicly traded names as well as some of the private companies and the majors, all three. And we do work with them on designing a survey that will hopefully produce the attributes that they will need to do further analytics, but once we are finished with that phase, the analytical stages and the integration of other data volumes are being done in-house by those companies and many times we're not - due to confidentiality or proprietary information, we're not a part of that directly but we do believe that we are providing data to those names that aid them and look in full data integration into what they're looking for in the reservoir.
John Potratz: So it sounds like you have not yet have a program whereby you work with them individually to say, hey, this is the data we have. This is how we can have enhanced it even further, so the next job that we shoot we have even better data.
Steve Jumper: Yes, from the front - we do that from the front side.
John Potratz: Okay.
Steve Jumper: From the survey design, the parameter selection. For example, we've just recently conducted some tests with a group of companies concerning energy source configuration and the parameter selection, and so we're continually working on the front side to improve lateral resolution, vertical resolution and a survey that has a full suite of attributes that they can then take and do the analytics from. And so we're very involved with client bases upfront, but once it gets to actual integration of the processed data into drilling programs and further integration into other data formats, or integration of other forms of data is what I'm trying to say, we're not in that part of the operation at this point.
John Potratz: Okay. Not yet. Okay. The other thing is that several articles in The Wall Street Journal talked about BP and other majors getting into the Permian and Delaware basins. I think you mentioned in the past that it takes up a while to put together program. They are a lot slower in implementation. Have you seen any major shifts from the majors like the British Petroleum, other, Exxon that have indicated - they bought $1 billion worth of oil rights in the Permian?
Steve Jumper: Here again, we have seen some increased activity by some of the majors either directly with the major brand or the influence through a name that they've acquired. As we've said, sometimes that work is done directly. Sometimes that work is done indirectly. And so, it's difficult for me to answer that question with extreme accuracy because what we will see and many times particularly in the Permian and Delaware, is our client will be a third-party multi-client provider that has multiple client underwriting that survey as part of their business model. And so we're not always aware of who is involved. We oftentimes have knowledge of that, but not always. And then even on the - when we're working for an independent publicly-traded name, we're working in an area that will cover more than one company's lease hold, and so what their involved is with other leaseholders as a participant in that survey, we are not always directly involved. We may cover three or four E&P companies of various levels in a survey and we may be dealing with one of them and they may deal - they might be dealing on the backside with the other three. It just depends on who is the operator of the particular survey that we're shooting. And so we believe they're involved. We have some knowledge that they're involved, but we're not always directly involved with every operator that's a participant in a shoot that we may complete.
John Potratz: Very good. Thank you for your explanation.
Steve Jumper: Well, thank you, John. Good to hear from you.
John Potratz: Thank you very much for being there.
Operator: [Operator Instructions]. And gentlemen, no one else has queued up at this time. I'll turn it back over to you for closing or additional remarks.
Steve Jumper: Well, thank you, Shannon, and I want to thank everybody for participating in our call this morning and those that might listen at a later time. We continue to be in a tough market. I think we still have some tough days ahead. We are looking at some cost control initiatives and some strategies to help us reduce operating cost, as well as increase our efficiencies, both from a production standpoint and a financial standpoint. I want to thank our shareholders for their support and want to thank our clients for their trust and want to thank our employees for their continued dedication and hard work in a tough environment. We just recently had our Annual Meeting and re-elected our Board of Directors. And I want to thank our Board of Directors that, I believe, do an outstanding job of looking out for shareholder interests and they are good well diversified group of folks to work with. And so we're going to continue battling and we look forward to talking you in the next quarter. Thank you very much.
Operator: Ladies and gentlemen that does conclude today's conference. We thank you for your participation and you may now disconnect.